Operator: We would like to start the LY Corporation Earnings Briefing for FY 2024 Full Year and Q4. Thank you very much indeed for your participation. During today's briefing, we will be using the presentation material that you can find in our website. From LY Corporation, first, we have Mr. Takeshi Idezawa, CEO; Mr. Ryosuke Sakaue, CFO; Mr. Yuki Ikehata, the CEO of Marketing Solutions Company; and Mr. Makoto Hide, the CEO of Commerce Company. First, Mr. Idezawa will present the FY 2024 full year and Q4 results. And then we take questions. We plan to spend about the 60 minutes for the whole briefing session. We are live streaming this session. If you have technical difficulties, please use the link at the bottom of the screen and move to another server. So let us get started.
Takeshi Idezawa: Thank you. This is Idezawa, the CEO of LY Corporation. Thank you for taking the time out of your busy schedule to attend FY '24 full year and Q4 business results briefing. I'd like to present a summary of business results. First, this shows the FY '24 business results. Adjusted EBITDA grew 13.5% year-on-year to JPY470.8 billion. In FY '25, we will focus on three areas. First is to transform LINE Official Account and LINE MINI App into the business platform. Second is to transform PayPay from the payment app into the digital financial platform. We'll try to expand the ecosystem so that we can realize the corporate value and prepare for the IPO. Number three is to deploy AI agents in consumer-facing services in full scale. High single-digit increase in revenue and profit plan for FY '25, including investments. And today, we announced up to JPY150 billion share repurchase to improve the capital efficiency. Please go to next page. So here, this is the agenda that I'd like to go through. Next page. So starting with the entire group consolidated business results. In FY '24, revenue and profit increased in Media, Commerce and Strategic segment. Entire group adjusted EBITDA increased 13.5% year-on-year. Adjusted EPS increased 11.7% year-on-year. From FY '25, we changed or redefined the adjusted EPS. For the FY '24 number, based on both definitions are shown. The new definition includes the nonrecurring gains and losses below the operating profit and PPA amortization as new adjustment items, with the aim of showing normal profitability without one-off gains and losses or the impact of the past M&A. So after the merger, this shows the trend of the performance. In all segments, we saw the growth of the businesses. And after the merger, we focus on a lean operation of organization. And as a result, we realized a double-digit adjusted EBITDA and margin expanded to 24.6%. This shows the factors of change in adjusted EBITDA of the entire company. In FY '24, each business higher revenue contributed to the higher profits. We realized double-digit profit growth. So this shows the entire group total advertising revenue. In Media ads, mainly account ads increased and stable growth was realized. In Commerce ads, the revenue declined, but since the second half of FY '23, we executed disciplined sales promotion investment, which led to a major growth. This is the entire group e-commerce transaction volume. Domestic shopping transaction volume grew by 5.1% year-on-year. In Yahoo! JAPAN Shopping, we had a campaign to improve the UI and UX. And as a result, the transaction volume grew by 6.7% year-on-year. In reuse transaction volume, the Yahoo! Flea Market showed a double-digit growth year-on-year. Yahoo! Auction, the number of the users did not grow so much and the year-on-year decline was booked. Domestic service transaction volume with the sales promotion of Yahoo! JAPAN Travel and the Ikyu with the higher reservation, travel grew by 24.5% year-on-year. Next is the share repurchase and cancellation of the treasury shares. In order to improve the capital efficiency, we will execute up to JPY150 billion share repurchases. And with this, the dividend per share in FY '26 will increase in proportion to the number of the shares repurchased. This will be the tender offer. The price is that of the 2nd of May ending price, JPY533 per share. We plan to cancel majority of the repurchased shares. Next is capital allocation and the trend of the adjusted ROE. Buffer for the additional investment and the capital policy is updated to reflect the new share repurchase and ZOZO's acquisition of Lyst. We will work on the improvement of the capital efficiency so that we can realize positive spread between the stable adjusted ROE and cost of equity. Next, this is the business results by segment. Starting with Media business. In FY '24, highly profitable account ads showed strong growth. Adjusted EBITDA grew 11.6% year-on-year. With the changes of the revenue mix and cost control, adjusted EBITDA margin increased to 38.8%. Next page, this shows the breakdown of the Media business revenue. Account advertising grew significantly by 18.9% year-on-year and drove overall Media business. As for search advertising, partners' website revenue declined. However, for LY Corporation's website, we continue to improve the functions and revenue increased. Display advertising, although the number of impressions increased, the demand decreased in some industries. Revenue declined by 1.4% year-on-year. In others, LINE stickers grew. Next, we look at the performance attribution of the Media business. Due to revenue growth and reduced SG&A through cost control, we achieved double-digit profit growth. Next, let me now explain account ads. For the third consecutive year, we maintained year-on-year growth, exceeding positive 18% with revenue reaching JPY125.1 billion. Next, the performance trend of the Commerce business. Despite the impact of deconsolidating ValueCommerce and IPX, revenue and profits increased, primarily driven by growth in shopping and service DC. Profits grew despite the absence of a onetime gain of JPY9.4 billion recorded last year. Profitability improved with adjusted EBITDA margin reaching 17.5%. Next, here is the performance attribution for the Commerce business. While SG&A expenses increased due to active sales promotion, revenue growth outpaced the cost increase, resulting in a plus 3.6% year-on-year rise in adjusted EBITDA. Next, this shows the trends in Strategic business. Revenue exceeded JPY300 billion, driven by growth in PayPay consolidated. Adjusted EBITDA also grew significantly to JPY51.5 billion, supported by revenue growth. With this sharp increase in profit, the margin improved significantly to 15.1%. Next, breakdown of revenue in the Strategic Business. Throughout the year, both PayPay consolidated and Fintech businesses showed steady growth. PayPay consolidated achieved 17.7% year-on-year growth, driven by increased GMV as a result of marketing campaigns and higher interest income from growing revolving payment balance. PayPay Bank increased revenue due to steady growth in account numbers and deposit balances as well as expansion in housing loans, which led to higher loan balances. Other financial businesses, including LINE Pay Taiwan and LINE Credit, performed well, achieving 22.6% year-on-year growth. Performance attribution of the Strategic Business. In addition to higher revenue of PayPay consolidated, reductions in SG&A expenses, especially outsourcing costs, led to a significant profit increase. Next, PayPay continues its high growth trajectory. Thanks to strong performance of events like the PayPay Festival and municipal point back campaigns, total consolidated GMV rose by 23.4% year-over-year and consolidated revenue also grew by 17.6%. Consolidated EBITDA surged to JPY45.5 billion, driven by more efficient marketing speed and reduced outsourcing costs -- efficient marketing spend and reduced outsourcing costs. As a result, margin expanded to 18.3%. Next, let us present our earnings guidance for fiscal '25. Before we present our earnings guidance for fiscal '25, we'd like to first explain PayPay's IPO as it will impact the format in which our guidance is disclosed. PayPay has begun preparations for its initial public offering, IPO. We're exploring the U.S. market as a potential listing destination. Even after the IPO, LY Corporation remains fully committed to PayPay's business and enterprise value growth. Next, once again, this is our consolidated earnings guidance for fiscal '25. We expect entire group revenue to grow by approximately 9%; entire group adjusted EBITDA to grow by 6.2% to 8.3%; and adjusted EPS to increase by 4.0% to 7.9%. Thus, we anticipate high single-digit growth in both revenue and profit. As mentioned, since PayPay has started preparations for IPO, we will refrain from disclosing financial forecast numbers for PayPay consolidated in fiscal '25. Given that PayPay consolidated accounts for the majority of both revenue and profit within the Strategic Business segment, disclosing its forecast could effectively imply a projection for PayPay's performance. To avoid this, we are presenting the outlook by combining the Strategic Business segment with the others and adjustment category. Now let us explain our capital efficiency improvement policy. Our basic policy is to strike a balance between profit growth and growth investment while working to improve operational efficiency. As for shareholder returns, we aim for a cumulative total payout ratio of over 70% over the next five years through flexible share buybacks and stable dividends. In terms of maximizing profit and free cash flow, we aim to maintain high single-digit profit growth in adjusted EBITDA and adjusted EPS over the medium term. We're also working on balance sheet management to ensure the appropriate size and structure of capital and liabilities. Next. Finally, let me outline our management policy for fiscal '25. Next, first, the look-back of fiscal '24. We steadily executed the policies and goals set at the beginning of the fiscal year. We were able to achieve such goals. While strengthening our products, we also improved profitability, resulting in adjusted EBITDA exceeding the initial guidance by JPY30 billion to JPY40 billion. Security measures, also progressing according to plan. Next is future policies and positional businesses in FY '25 and onwards. We will focus on the Official Account and MINI App, PayPay and AI. Those are the three areas of the focus and we try to realize a sustainable growth even in the rapidly changing market environment. LINE Official Account and LINE Mini App, we will try to enhance the features and try to improve the linkage between the two to introduce this to the companies and stores to realize the continuous high growth. And we are trying to transform the PayPay not as a payment app, but to become the digital financial platform to build the ecosystem to improve the revenue and to introduce all the AI agents to all the services of the services that we have. And we would like to introduce the AI products, which can be provided only by us who have many users, physical contact and content. And we will build a solid user base and revenue base in Gen AI era. And I'd like to talk about those three basic principles. First is about the LINE Official Account and MINI App. First of all, about the potential market, the Official Account and MINI App, they can be divided into the sales promotion market and digital transformation market. Each size of the market is JPY15 trillion and JPY7.7 trillion each. So the total is exceeding JPY20 trillion as a potential market. And the latest account ad sales or revenue is about JPY120 billion, so there is a big room for growth. So on the basis of the stand-alone Official Account, we will try to aim for the double-digit growth of this Official Account to up to 20%. And with the monetization of the MINI App starting from the next fiscal year, we expect a stronger growth. By FY '28, we aim to achieve JPY100 billion annual sales with the MINI App, so this will be the major driver. Next page. So as a foundation for the future revenue growth, I would like to talk about the business platform. So from this fiscal year, we will introduce the cross functional business platform to centrally manage our services to companies. Our corporate service IDs will be integrated into the LINE Official Account, so the companies and stores will be able to use the multiple services based on the Official Account. As a result, from the perspective of the users or the companies, the users' usage status of the services can be seen. And based on the deeper understanding of the users, they can distribute the ads and do the sales promotion across different services. So we expect the combined use of other services and others. So in addition to the business platform, we will be also taking measures to boost our service foundations. On the left-hand side, we are showing our plan to strengthen our sales of the DX solutions. And mainly in the dining and beauty services, we will be introducing the promotion of the MINI App. And as per the measures to increase the user usage, we would enhance the function so that the MINI App can be searched and found easily. And the companies have been requesting for the in-app bidding feature of the MINI App and we would also make progress in terms of introduction of the option functions for the LINE Official Account. Through those initiatives, we will further grow the Official Account as well as MINI Apps. Next is the second pillar that is to build the digital financial platform centering around PayPay. First, let's look at the external environment surrounding PayPay. The cashless payment ratio in Japan is steadily growing. And in '24, it exceeded 40%, but there is still growth potential in comparison to other countries. So in this quickly growing cashless payment market in Japan, PayPay has been increasing its share steadily. And in terms of the number of the payments, the PayPay share is now close to 20%. And in terms of the profitability, the revenue increased in FY '24, and now we are ready to expand this. In April, the PayPay Bank was transferred under PayPay, and we have now completed the reorganization of the financial businesses within the group so that we are ready to realize the synergy of this. And we will try to utilize the tailwind of the increasing cashless payment market to realize the further. So about the concrete items on the left, PayPay Card example, PayPay and PayPay Card will be linked. We will make it more convenient. And in terms of the interface, compared to the red screen, you can decide to the blue screen and you can switch to the payment. And this should or this has led to more transaction for GMV and the number of cards issued and that has led to the growth of PayPay itself. And this past April, PayPay Bank has become a subsidiary of PayPay. And at PayPay Bank, various initiatives are starting. From April '25, from the PayPay Bank app, PayPay payments have now become possible. Going forward, as we have done with the card, we will make PayPay Bank balance payments from the PayPay apps. And so we shall achieve the high growth that we've achieved in cards at the PayPay Bank as well. So these initiatives are not limited to cards and banking. We will execute across our securities and insurance businesses as well. Going forward, we will use PayPay's broad user base and strengthen integration with the PayPay app to further grow our financial services, including banking securities and insurance. PayPay is evolving from a simple payment app into a comprehensive digital financial platform, and we will build a robust ecosystem and drive further monetization. Next, lastly, I will explain our initiatives to implement AI agents. Next, LINE Yahoo! or LY Corporation has grown by capturing past paradigm shifts in the IT industry. We believe that the paradigm shift brought about by generative AI is the most significant of them all. And so how we respond to that is going to be the key. Amidst such transformation or paradigm shift, we are already implementing various AI initiatives. To date, so we have launched 44 AI-powered services for consumers and undertaken over 35 internal operational efficiency projects. So we've strengthened the user service and enhanced the efficiency of our internal operations. For example, LINE AI, which was launched in April, you see the numbers. It's already being used by a large number of users. In our internal operational efficiency projects, we've made steady progress. About 90% of certain customer support tasks has been automated and the time spent gathering information in response to ad sales increase has been reduced by 70%. This fiscal year, in addition to advancing these initiatives, we will fully accelerate the transformation of our consumer-facing services into AI agents. Next, the key to our customer-facing AI agents is deep user understanding, extensive merchant touch points and the richness of our content and data. We think those are quite important. With a user base of about 100 million, over 10 million merchant and payment touch points and more than 100 types of content, well, a lot of the data is being accumulated and so we will leverage the unique strengths of the LY Corporation to deliver AI agents in a way that only we can offer. There are three key points, we think. First is personalization. The AI will autonomously analyze all kinds of information, including reviews and feedback, to provide optimal suggestions for each user. Second, end-to-end coverage of daily life. Our wide-ranging services allows our AI agents to accompany our users in all aspects of their lives. Third, conversion completion. The AI agent will complete the cycle to conversion seamlessly, including booking, purchasing and payment. So these three, we think are our strengths. So next page. Going forward, we will evolve our various services into AI agents. Not only our core services like LINE and Yahoo!, but also local shopping and messaging services will transform into AI agents. So these services will go beyond providing information and analysis to offer optimal suggestions and assist with actions like reservations and purchases. We will prioritize the implementation of services that implement generative AI, aiming to build a solid user base and a revenue foundation in the Gen AI era. An image video of our AI agent is available on the IR section of our website. So please take a look. To summarize our full-year business results in fiscal '24, we've grown our businesses by strengthening our products and by a lean operating structure that we have since the merger and have seen improved profitability, realizing stronger-than-expected profit growth. In fiscal '25, we will continue operating under this structure, while steadily executing our mid to long-term growth strategies centered around three pillars, Official Accounts and MINI Apps, PayPay and AI agents. We'd like to make this a start of the next growth phase, capitalizing on our strengths. We will also maintain a balance between stable profit growth and growth investments actively pursue shareholder returns and BS management and continue focusing on improving capital efficiency, one of our key management issues. We will aim to be a company appreciated not just for its financial performance, but for a multitude of reasons by the stock market. We appreciate your continued support. And that concludes the fiscal '24 full-year and Q4 earnings presentation. Thank you very much for joining us today.
Operator: Thank you very much. Now we'd like to take questions. [Operator Instructions]. First, from SMBC Nikko Securities, we have Mr. Maeda. Please unmute and ask your question.
Eiji Maeda: Thank you. This is Maeda from SMBC Nikko. I have two questions. First, is about the PayPay IPO and preparation. In the long term, your investment and about the structure of the investment, what do you think will be the ideal? As of now, I think that as LINE/Yahoo! Group, the profit of the PayPay, pickup is limited. So through the IPO, is this going to be diluted? Or at the time of the IPO or listing, as a shareholder, what are the advantages that you will expect? So that's my first question.
Takeshi Idezawa: Yes, Sakaue, would like to respond to your question.
Ryosuke Sakaue: For us, PayPay, PayPay's listing means that PayPay's corporate value can be realized. So that's the biggest advantage. In addition, PayPay itself through the IPO, the market discipline and others will improve their management, and will accelerate their growth. So those are the expectations that we have in preparation for IPO. Our equity toward the IPO, we will be studying the different structures. So as of now, nothing has been decided. So for us, selling PayPay, others, we are not thinking about that right now. And we would be studying the offering structure from now on. Thank you.
Eiji Maeda: My second question, this time, the briefing session, on Page 24, you talked about the guidance. In each segment, the revenue, we should look at it and also the cost. If you can give us the byproduct or by subsegment additional explanation?
Takeshi Idezawa: Yes. Sakaue, would like to respond to that.
Ryosuke Sakaue: First of all, starting with Media, this is the high single-digit revenue growth is expected. And account advertising, we can think we can grow in double-digits. As for the display, it's difficult, but single-digit -- low-single digit is what we'd like to realize in full-year. For the search ads, it's going to be a little bit tougher than the display as has been factored in. The revenue is growing low-single digit, but it's flat in terms of the profit. This is related to the cost for generative AI. So EBITDA is flat as a result. More specifically LINE AI and search AI or AI search and LLM will be using the company's LLM, so that would incur some costs. So that is reflected. And also the AI search, the monetization has not been established, so only the expenses are emerging. So that's why the EBIT -- the profit looks flat. As for Commerce, the BEENOS is going to be consolidated, and that will be a JPY10 billion to JPY20 billion add-on expected in terms of revenue. And so the high single-digit growth of the revenue is expected. Yahoo! JAPAN Shopping gradually and steadily, we are trying to expand our ecosystem. So again, the high single-digit growth is expected for that. And adjusted EBITDA is lower in terms of the expected growth than the revenue. In the Gen AI era, how do we do the monetization? One is through conversion. We would like -- we need to generate the revenue. So within Commerce, there are different conversion services. So toward the Gen AI era, we need to improve our capability to convert. So promotion, sales promotion, so a certain level of the growth investment is included. So that's why the revenue growth and adjusted EBITDA growth are a bit different. And as for the strategic area, it's difficult for me to comment, but the PayPay, LINE financial services, the revenue growth is lower 20% range and EBITDA in the strategic area, we would like to maintain the curve that's realized and to improve the profit from now on steadily. That's all. Thank you.
Operator: Thank you. Next from Goldman Sachs Securities, Munakata-san. Please unmute and ask your question.
Minami Munakata: Munakata from Goldman Sachs. Thank you for the presentation. I also have two questions. First about AI agents. FY '26 and onwards, you're looking to monetize, that's what you said. But the method of monetization, what are you thinking -- what are your thinking? So there was mention of enhancing conversion to the previous question, but there was AI agent. In order to grow revenue in a large way, what is going to be important? Is it going to be user traffic or GMV? Growth of those things, that will lead to profit? Is that the image we should have? Or you say you have a broad range of contest, more than 100. So by introducing AI agent and also in trying to monetize that, what are the contents that's going to be the key? Also, LINE app renewal timing. So second half of this fiscal year, unchanged or what about the surprising experience? Are you progressing toward a very positive surprise for the users in terms of that update?
Ryosuke Sakaue: Thank you. So Idezawa will explain.
Takeshi Idezawa: About monetization of AI agents, so globally, this is something that's been discussed. So we have to think as we walk and that is our basic approach. But the basic direction, there's three major parts. So convergent model, that is in line with the GMV. So with AI agents, GMV can increase in various services. And so from there, we would like to create a model where we can enjoy fees from that. So at our company, we don't just do media, but we have very large numbers of users. So we're sort of a portal, and we have many conversion points. For example, commerce is one or travel is another and restaurants as well. And the payment is also within our same group. So we're very unique in that aspect. And so conversion in those places is one pillar of our monetization. And there's still LYP premium that we have. And amongst the subscriptions, or within that subscription, we can perhaps integrate that. That is another possibility we're thinking about. So something very useful if that is created. And then that could be one item in the LYP. That's something we can think about. Then there could be some completely new model. So whether it be search or chat or PayPay, we have this history of creating something very new. So I think that there will be something fundamentally new. And also your other question about the LINE app, we're on schedule. Fiscal '25 is when we plan to announce that update. And as you mentioned, we want to provide the convenience to the users and so element of AI or Gen AI probably be incorporated, so we'll make due preparation for that. That would be my response to you.
Minami Munakata: Thank you very much. Second question, so looking at this fiscal year's guidance, I also have a question. So internal company EBITDA margin, it seems that it's about the same as fiscal '24. That seems to be the assumption. But what will be the positioning of this fiscal year? The cost optimization has run its course. So now you're going to focus on top line-driven growth phase. Is that the right understanding of your approach? Also, may be difficult for you to say, but the Strategic Business monetization, if that should progress further EBITDA margin, can we see an upside for that as a result of that, please?
Takeshi Idezawa: For this fiscal year, it's not about cost reduction. Fiscal '24, we have worked on cost reduction, and we increased profit by increasing the profitability. And for AI agents, we will be doing mid to long-term strategic investment and also grow the top line as well. So top line growing? Not really in this year, but next, we're sowing the seeds for the next fiscal year onwards when it will be the AI era. But still, we want to maintain a profit growth of higher single-digit. So for the Strategic segment, it's difficult to talk about the projections. So please forgive me for that.
Minami Munakata: Understood, thank you very much.
Operator: Thank you. Next from Okasan Securities, we have Mr. Okumura. Please unmute and ask your question.
Yusuke Okumura: Thank you. Okumura from Okasan Securities. I hope you can hear me.
Takeshi Idezawa: Yes. If you can speak up a little bit.
Yusuke Okumura: Yes. I have two questions. First is about the Media Business, the business results and guidance. Now search and display, you mentioned were weak, so I'd like to check the reasons. And for this fiscal year, Yahoo! and LINE ad platform integration was planned. That is not something that I can find in the presentation material. So how did you include that into the guidance? And also the Media guidance cost, Cristal [ph] related cost is not included. Is that right? So I'd like to confirm those points.
Takeshi Idezawa: Sakaue would like to respond, and maybe there is an additional comment from Ikehata.
Ryosuke Sakaue: Q4, the search ads, part of the major clients, or among the clients, they are going through a kind of trials and errors. And because of that, Yahoo! website, the search ad faced some difficulty and that is continuing in Q1. So when I talked about the guidance of the Media, the search is flat because of that same reason that we expect the continued impact. As for the display, Q4, Q3, Q2, the revenues were down and the demand side, the text side display is not yet coming back. So it's not really the tariff of the impact of the tariff, but it was the situation that existed before. And as for the platform, it was integrated in FY '25 and Ikehata can make some additional comments. As for the Cristal specific, no, we do not have any budget for that. So I'd like to invite Ikehata-san to comment.
Yuki Ikehata: Yes, Ikehata speaking. As for the guidance and the latest results, those were already reported by Sakaue. And one additional comment that from my side, the ad platform integration and others, there are various initiatives starting this fiscal year. And the ad platform itself LINE and Yahoo! ad, the integration will be in the second half of this fiscal year. Gradually, we are starting to provide that to the market. And of course, when the platform becomes one single platform, then the advertisers can more seamlessly use the LINE side and the Yahoo! to have a more efficient ad distribution. So that would be the environment. But this is the major integration of the major ad platform. So in our guidance, revenue upside is not included. Rather, we will start to see the effect of it in the medium term. So in FY '26 and onwards. So the platform integration will start to show the effect in the advertising. So that was the additional comment that I wanted to make.
Yusuke Okumura: One follow-up question. So platform integration is not delayed. Is that correct? And you also mentioned search and you talked about some clients. Is it related to the budget of the client, and that's not going to have any impact on the platform?
Takeshi Idezawa: Thank you. About the integration of the ad platform, about -- no, we do not have any delays looking at the situation of the customers and we are working closely how we can do this. So that's how we are working on this. About search, your understanding is correct. Thank you.
Yusuke Okumura: Thank you very much. My second question is about PayPay IPO. And the PayPay is a domestic business and listing -- potential listing in U.S. market, why is that? Simply in the case of IPO in Japan, there could be some conglomerate discount. Is that the reason? Could you explain the background? And about the PayPay, by listing, the capital that you can procure will change. So where would you be spending that? Through the IPO, the business value of the PayPay, how would it expand? And as of now, if you can comment on that. Thank you.
Takeshi Idezawa: Thank you. So PayPay, considering the listing in U.S. market, it doesn't mean that we are making any specific preparation, but eventually, we would like to do the global business. So that's one of the ideas that we have. So that's a background. And the second is that the U.S. market for the Fintech company listing, there are more companies being listed, and there is a depth in the market, so the valuation or multiple, from those perspectives, there could be higher evaluation. And that's one of the reasons why we keep this as one of our options. U.S., the regulation, preparation for the IPO, of course, there is more burden or road, so we are going to start the preparation even in this burdensome market. And finally, where do we list? That's something that we would like to decide as we prepare. And of course, there will be more options in funding after the IPO. So what do we do in the future? Not just procuring the fund from the capital market, but the debt capacity or procuring the funding through the debt or fixed income, there is more reliability or the trust. This is the financial business, so the money is something that we need to procure in the financial business. And when we consider that, with more reliability with the debt, securitization or bank loans and others, there will be wider options in funding or financing.
Yusuke Okumura: Thank you very much for your detailed answer. That's all.
Operator: Thank you very much. Next Jefferies Securities, Sato-san. Please unmute and ask your question please.
Hiroko Sato: Sato from Jefferies Securities. Can you hear?
Takeshi Idezawa: Yes.
Hiroko Sato: I have two questions. The guidance. Last two years, in terms of your profit, you have seen upside against guidance. So recent guidance from your company, there's this image that it's quite conservative. This time, EBITDA is flat from the previous year. Is this because there is AI investment? And so should we consider this to be conservative as well? Or this time, you're spending money, so you're actually thinking that this is where it will land? So are you conservative on the sales or on the profit side? So what's your sense internally, if you can give us some clues? Past two years in terms of profit, we've seen some relatively large upside. So what's the sense for this fiscal year? That's the first question.
Takeshi Idezawa: Sakaue will respond.
Ryosuke Sakaue: For this fiscal year, earlier, we talked about AI and that we're making business investments. That's being reflected here. And so -- well, maybe they will not be right ROI or when you call LLM, the users have to actually use AI search or that the cost will not be incurred. So we really can't say for sure what will happen. So this is the best effort plus alpha. That's what is in the guidance. So rather than revenue, the EBITDA or the cost side is where there is that reflection. And so there may be some additional communication in terms of how we progress in the growth investments.
Hiroko Sato: Also another thing, cybersecurity. So JPY15 billion budget you had for the term just ended, and you would use that full amount. But related to the Ministry of Internal Affairs and Communications, this is completed relative to the MIC. And this fiscal year, you were saying, I think you would have JPY10 billion. Is that in the budget right here?
Ryosuke Sakaue: Yes. So it's in the appendix. In our guidance, we have JPY10 billion that's included. FY '24 so for LY Corporation, there was a security leak measures, Naver system we were using, we had to separate that. So that was the focus for fiscal '24. The unconsolidated LY Corporation, we're seeing that completed. So FY '25, this will be for the group companies, domestically and overseas. Still, Naver system is used by some of those entities. So there is what we will do, the separation, and we expect about JPY10 billion for fiscal '25.
Hiroko Sato: So each quarter, are you reporting the progress or are you mandated to deliver a report to the MIC by quarter?
Ryosuke Sakaue: Well, as of end of March, we haven't been told to do so. But of course, we think it's better to maintain the communication. So no set frequency, but we will maintain communication with the MIC.
Hiroko Sato: And so you will voluntarily declare. Like last time, you had to answer questions. This time, you will do it, you will just make a voluntary statement like a status check?
Ryosuke Sakaue: So Idezawa will respond.
Takeshi Idezawa: So we've disclosed this separation plan. So some of that will take until fiscal '26. So for that, we will, of course, make reports. And large part of the separation has been completed, but overseas subsidiaries, still some separation work remains. So we want to do that within fiscal '25. And it's something that we will submit to the MIC and will publicly disclose. So to the MIC or on our corporate site, we will disclose the progress.
Hiroko Sato: Thank you very much. Going forward well, it's JPY10 billion this year, but fiscal '26, same amount of budget you plan to secure for this effort? Or is it going to be eliminated?
Takeshi Idezawa: Sakaue will respond.
Ryosuke Sakaue: Fiscal '26 onwards, JPY10 billion, we will not continue at JPY10 billion. Security measures, of course, we always have to do it, but it will not be as large as this JPY10 billion. It will be only up until fiscal '25 that we'll be spending this amount of money.
Hiroko Sato: Very clear. Thank you very much.
Operator: Next from Nomura Securities, Masuno-san. Please unmute and ask your questions.
Daisaku Masuno: Masuno from Nomura. I have two questions as well. First is about the AI agent. Your definition of important functions, what are, for example, the search or operability or better efficiency in development? And is it for the consumers or for the businesses, your definition of the AI agent? And of course, you have to invest in order to get the return. So if you depend on the other company's LLM, not the LLM expenses, but you really have to spend all the development on your own to get the return. So excluding LLM, what is the size of the investment that you plan to make?
Ryosuke Sakaue: Idezawa would like to respond first.
Takeshi Idezawa: Well, our AI agent, what we talked about was for consumers, for the users, AI agent. And as for LLM, as you pointed out, one of the Google was updated, and there are more options for us. So about the pricing, pricing will come down. So rather than LLM itself, I would like to use it well so that we can have a better interface for the consumers. That's more important. So for all the users, we will like to provide the AI agent functions. And to differentiate in terms of the contact of the users, we have so many users and also the gen AI, the chat line and also the Yahoo! search, we have both. So there could be an easy access on the part of the users. And also, we have many conversion points that users can take the actions, purchase, reserve and so forth. So from now on, the Official Account and MINI App or PayPay, we will have more of those. So we'd like to link those and to do it seamlessly. That will be our strength. As for the cost or expenses, Sakaue-san will make some additional comment.
Ryosuke Sakaue: Yes. The expenses for the LLM, about JPY10 billion or so, that is what we expect. And also in the wider sense, when we consider the monetization in the future, we need to enhance the conversion, so for that, another JPY10 billion. The various service enhancements on the part of the conversion, JPY10 billion is included. And as for the development for the AI agents, of course, it's necessary to develop and the personnel costs and the consignment costs and so forth, I think we can keep -- continue to use our talent. So we are not thinking about increasing the recruitment for that purpose. Thank you.
Daisaku Masuno: I see. So you are making quite a bit of investment, and that's a good thing. You have to really invest in order to get the return. So about the Strategic business, you mentioned that it's difficult to talk about the future. So I'd like to ask about the actuals. Credit card, the net adds or increase, you have made the big increase. I'd like to know the reason behind that and background. And for the bank, the asset side, when you look at other company's ecosystem, you can grow further. So there is a lot of buffer for growth. And what is the reason why you're not really growing that much based upon your analysis?
Takeshi Idezawa: Well, about the card, the Blue PayPay, or on the PayPay app, you can use the card. And that is something is recognized very well and it's growing. And also both cards and to have multiple cards for one person, so there are various new characteristics that we are launching with this new credit card, so 20% to 30% growth is something that we can realize. And as for the bank, yes, that's something that we need to work on from now on. So PayPay Bank, from the PayPay Bank account to make a direct payment from the PayPay outstanding amount, you needed to move money from the bank to the app. There was one process there. So if you seamlessly connect that, the PayPay Bank can be used as a kind of a debit card. So if you don't want to use it as a credit card, if you want to use the amount that you have in the account, we would like to enable that. And for example, the housing loan and the mortgage, we are coming up with different levels and so forth. So we plan to accelerate the banking services. Thank you.
Operator: Thank you very much. BofA Securities, Nagao-san.
Unidentified Analyst: Thank you. Nagao from BofA Securities. Can you hear?
Takeshi Idezawa: Yes, we can.
Unidentified Analyst: First question about the AI agent. So the movie is uploaded, you said, but from Idezawa-san, I want to ask. How to reduce the user pain of consumers with your AI agents. So what kind of a product is it going to be? As a user, if we can make a restaurant booking from LINE or make hotel bookings from LINE, that would be great. That's what I would feel. But that kind of a use case is what you envision for the future? And then the monetization would be more realistic. So I think you're in the era of investment, but talk about the timing of monetization. So on the 2C side, what are the potential service deployments please?
Takeshi Idezawa: Thank you. Please look at the page on the screen. So it's not just one single AI agent, but we have diverse services. So we have multiple AI agents that will be running. So each of the services will shift to AI agents. So that's the key. And to integrate all that, there will be an AI agent to bring them all together. In terms of user pain, so LINE is maybe the portal and maybe if you use OpenAI operator. And when you do the booking, then you have to log in again. As of now, it's already very convenient. But in the future, we can have even more seamless service. I think that's what the consumers want. And in that regard, various conversion points can be envisioned and various local content, Japanese content, we have a huge amount of that. So understand the users, and we can guide the users to the final destination very smoothly. That will be our strength. In terms of the LLM, I think it will become commoditized to some extent. So we will choose whatever matches our services. And so we will compile/combine those services. And our strength is that we have a chat and the search which has good affinity in terms of user contact. I think that will be the unique characteristics that we have. Also about the timing of monetize. You asked about that or -- so that will be my response to your questions.
Unidentified Analyst: Well, if possible, your initiatives, so when we'll be harvesting? So can you talk about the timing?
Takeshi Idezawa: Yes, for this fiscal year, so various AI agents are being introduced. And next year, fiscal '26 and onwards, we'll be thinking about monetization. We'll be going through trial-and-error phase. And then after that, it will be harvest time.
Unidentified Analyst: Thank you very much. Second question may be difficult question for you to respond. But for PayPay IPO, so LY, you have a 30% economic interest and so there will be outflow. And I'm sure that there are many things you can't talk about, but in the future, can you or there's not the possibility of a big capital gain. So as a shareholder, in order to enhance corporate value, how is the PayPay IPO going to contribute? So how is it going to contribute to corporate value enhancement of LY Corporation? Because you have PayPay, Media or Commerce will grow and you have this virtuous cycle. Do you have that kind of story other than just the capital strategy? So what is that the synergy effect that you have in mind? Sorry for the long question.
Takeshi Idezawa: Thank you. About the AI agent concept. For that, finance and payment, very important fields. And the most important is to construct the ecosystem. And so in preparing for the IPO, just trying to shift from just a simple payment platform, we're making PayPay grow into a digital platform and the strong ecosystem will grow out of that. And that will combine with the current ecosystem, and we'll have a strong ecosystem that will be chosen by the user. I think that's what we'll be able to realize. So PayPay growth, that's going to be our strategic core. So around that, we're going to provide user benefits. That's what we are thinking. Thank you very much.
Operator: Thank you. From UBS Securities, we have Ms. Zhai. Please unmute.
Yijia Zhai: Zhai from UBS Securities. Thank you very much for this opportunity. I also have two questions. First of all, about the MINI Apps, specifically, what kind of monetization methods which you would be taking? The timing of the monetization, you mentioned in FY '26 and onwards. So the monetization revenue increase or accumulation from now on, if you can comment on that. Also, the AI agent, would there be some linkage to the AI agent? If you can also talk about that, I'd be very happy. Thank you.
Yuki Ikehata: Thank you for your question. Ikehata speaking. I'd like to respond to your questions. So first of all, about the MINI App itself, our business model. There are many things that we are considering right now. So for example, MINI App itself, the EC service, the purchase, reservations, making orders for games and subscription services, the bidding of the users. And also in app, there could be some advertising. So advertising revenue is also one of the things. So app monetization is very close to the monetization method of apps. In addition, the LINE Mini App, one of the characteristics is that the Official Account, it can be -- people can use and share together with the Official Account. So already, if we look at some of the examples, the account ads itself, the frequency of the use can be activated and so the unit price of the account ads will grow together. So we have confirmed that. So concerning MINI App, in addition to the direct revenue, there will be a contribution to the account ad, so that's the indirect revenue. So in total, as Idezawa-san said, we can expect that kind of a size of the contribution. That would be possible. And monetization and also the timing, in FY '26 and onwards is what we said. And about the AI agent linkage to the AI agent, if I may comment on that. With the current AI, there are various content in the digital space, and you can pull them up. And based on that, you can make a recommendation or you can do the conversions and AI can support that. That would be the kind of a world. But still in the digital space, there are not so many local content and the business model of the local, the physical store and so forth. There are many companies who have that kind of situation. So using the LINE offshore account and MINI App to all the major stores and services, we would like to bring them to the LINE App platform so that our AI agent will be able to introduce many things. And MINI App itself can do the conversion on top of the platform. So AI agent will introduce the various content and the volume will be increasing. And so the various reservations and placing an order and a payment up to the conversion, you can do it in the app. So that's something that we would like to expand using the Official Account as well as MINI App. Thank you.
Yijia Zhai: My second question about the PayPay IPO, as much as you can answer. So on the timing of the IPO and the market cap that you aim for. And you mentioned that the U.S. market is one of the options. And you mentioned that the multiple could be higher there. So for example, in terms of multiple, what do you think would be the reasonable multiple? It might be difficult for you to make a comment, but if you can give some hints.
Takeshi Idezawa: So I'm sure that you want to ask those questions. But those are the things that we are still making preparation for. So we cannot respond to all the questions that you asked, sorry?
Yijia Zhai: Okay. Understood. Thank you.
Operator: Thank you. This will be the final question. CLSA Securities, Mr. Oliver Matthew. Please unmute and ask your question.
Oliver Matthew: I have three questions; two maybe we can fit in. One, on the buyback, can you explain the background here and the specifics of the transaction? And for the future buybacks, would they be similar to this or they will just be simple buybacks in the market? That's the first question.
Takeshi Idezawa: Sakaue will respond.
Ryosuke Sakaue: So the background of the buyback is that we have presented the capital allocation policy since before and the buffer part, we want -- we have been allocating to shareholder returns. So that's the basic background. And fiscal '24 results were strong and fiscal '25, we expect higher revenue and profit. So we thought this would be a good timing to announce a buyback. For the future, the structure that will be used, that's something we will consider for the future, but we will be discussing with the holdings and so the structure like we used this time, maybe this could be the format for future buybacks as well.
Oliver Matthew: Okay. The final question, OpenAI, SoftBank is making a very big investment. I don't think you've mentioned them, but what kind of discussions have you had? Or how do you see OpenAI fitting into your AI structure in the future?
Takeshi Idezawa: Thank you for the question. OpenAI, we're already utilizing internally for internal operations. And also as AI agent, so facing consumers, we are utilizing for some of those applications. And SoftBank has announced Cristal project and in the preparation phase, we had a lot of discussions working on that. So we're moving forward with holding a lot of deliberations with them. That will be my response.
Oliver Matthew: Okay. So just to clarify, when you're talking about launching new AI agents, some of those could be powered by OpenAI technology?
Takeshi Idezawa: Yes, of course. Answer is yes. On the other hand, we have multiple LLM. So we'll select what is appropriate for the users. So we will utilize various kinds of LLM. And, of course, we plan to use OpenAI extensively as well.
Oliver Matthew: Great. And congratulations on your good results.
Operator: Thank you very much. So that concludes the Q&A session. Finally, I'd like to invite Idezawa-san to say a few words.
Takeshi Idezawa: Thank you very much for staying until the end. FY '24 was a very good year, and FY '25, as we mentioned, we will be focused on the three areas, the Official Account, MINI App, shift the PayPay to the platform and also deploy AI agent in the services. And also the return to the shareholders is something that we'll be doing so that we can build the better financial structure. We want to grow in both areas. So I hope you will continue to support us. Thank you very much indeed.
Operator: So with that, we'd like to end LY Corporation's earnings briefing for FY 2024 full-year and Q4. Thank you very much indeed for staying until the end.